Operator: Ladies and gentlemen, good morning, and welcome to Ternium First Quarter 2018 Results Conference Call. [Operator Instructions]. Thank you. I would now like to turn the conference over to Mr. Sebastian Marti. Please go ahead, sir.
Sebastián Martí: Good morning, and thank you for joining us today. My name is Sebastian Marti and I am Ternium's Investor Relations Director. Ternium issued a press release yesterday detailing its results for the first quarter 2018. This call is complementary to that presentation. Joining me today is Mr. Maximo Vedoya, Ternium's CEO, and Mr. Pablo Brizzio, Ternium's Chief Financial Officer, who will discuss Ternium's business environment and performance in the first quarter 2018. At the conclusion of our prepared remarks, we will open up the call to your questions. Before we begin, I would like to remind you that this conference call contains forward-looking information and that actual results may vary from those expressed or implied. Factors that could affect results are contained in our filings with the Securities and Exchange Commission and on Page 2 in today's webcast presentation. With that, I'll turn the call over to Mr. Vedoya.
Maximo Vedoya: Thank you, Sebastian. Good morning to everyone, and I thank you very much for participating in today's call. I would like to begin with some brief comments about our main markets, then Pablo Brizzio will describe our performance in the first quarter of the year, and at the end we'll have a Q&A session. Let me start by sharing a brief highlight of our results. We had a strong set of numbers in the first quarter, driven by higher shipments in Mexico and higher prices in all our markets. Revenues reached $3 billion on shipments of 3.5 million tons. EBITDA was $665 million, increasing 32% compared to the fourth quarter. Net debt to EBITDA ratio, which continued to trend down, was at 1.2x at the end of March, a very strong financial position. And as we anticipated in yesterday's press release, we are expecting a better performance in the second quarter. Going to the state of the markets in the Americas, in the U.S., a strong demand, fairly high capacity utilization, and really balanced inventory are supporting a healthy environment for the steel industry. Also, steel prices has increased significantly during the last month. The introduction of Section 232 certainly contribute to this increase, and it is true that there's still some uncertainty regarding the final reach of Section 232. Many countries are in the process of negotiating exceptions. In the case of Canada and Mexico, these exceptions will probably be linked to the NAFTA renegotiation. Other countries like Brazil, Argentina, Europe and Japan are discussing their exceptions with the U.S. government. My view today is that there will have some sort of exemptions, and probably this will come in a way as the exception that the Korea government negotiate, with some sort of quota. Also, other countries are analyzing the needs of their own trade measures to avoid any collateral effects from unfair trade steel that could develop as a result of the application of the 232 in the U.S. Europe is an example of this. In the same way, the Mexican government is analyzing the renewal of the safeguard against steel imports that expired a few days ago. And clearly, the outcome of these trade-related issues will likely influence future steel prices' performance in these markets. But regardless of what the final outcome is, I believe that the issue of unfair trade is today on the table of most of the countries in the world, and that is a very good news for the steel industry. Let's go now to Mexico. In Mexico, the industrial markets remain strong, with manufacturing in general having a good performance. The commercial market more related to construction is a weak point. Realized prices will continue increasing in the second quarter in Mexico as contract sales with industrial customer reset under a stronger pricing scenario. Cost should also increase in Mexico in the second quarter, but to a lesser extent than realized prices, mainly as a result of higher price slab flowing through inventories, should take some time for Ternium's cost of sales to reflect the rising slab prices during the first quarter of the year. Regarding our investment program, the expansion project at Pesqueria facility are advancing as planned. The new coating lines will enable us to grow our participation in value-added market, mostly displacing imports, and should be ready by mid-2019. On the other hand, the hot rolling mill will allow us a far greater level of integration with our Brazilian facility after its completion by the end of 2020. Going to Argentina, we have a strong performance also in the first quarter. This was related in part to the depreciation of the local currency that helped in the cost side, as Ternium Argentina uses the Argentine peso as its functional currency. Demand and pricing will continue doing well during the second quarter, although cost per ton should increase, as the effect of the currency depreciation we saw in the first quarter should decrease. At the same time, a significant drop in Argentina will affect the agribusiness, and consequentially impact Argentine's GDP this year. But the good news is that GDP will be positive for the second year in a row, and probably the same will happen next year. The sustainable growth we expect in Argentina in the following years is something that has not happened for a while in that country. Finally, going to Brazil, Ternium Brasil continues in a very good path from a production point of view. We are gradually increasing the integration between Brazil and Mexico, and profitability at the Ternium Brasil is also improving. [indiscernible] slab prices are higher now than they were at the beginning of the year, and prices of raw material have been drifting slightly lower lately. All right. I'll stop here and ask Pablo to go ahead with his comments about the first quarter, and then we'll have more time for the Q&A session. Pablo?
Pablo Brizzio: Thank you, Maximo. Good morning, and thank you to all for participating in our conference call. Let's review our performance in the first quarter of this year. Please, if you can, turn to Page 3 on today's webcast presentation. As Maximo mentioned, our performance continues to be strong in the first quarter of the year, with EBITDA of $665 million, significantly higher than EBITDA in the fourth quarter last year. Looking at Ternium's EBITDA per ton on the lower left side and EBITDA margin on the higher right side, we reported a margin of $189 per ton in the first quarter, or 22% of net sales, reflecting higher prices in all Ternium markets and slightly decrease in operating cost. As for net income, in the first quarter of 2018, we reported $422 million, equivalent to earnings per ADS of $1.87, a $0.95 sequential increase mainly due to higher operating income and a lower effective tax rate. In the following page, we can see that in the first quarter, Ternium's net sales in Mexico increased 16% sequentially, due to a 10% increase in shipments to a new record of 1.8 million tons, and to a 6% increase in revenue per ton. As Maximo mentioned, we anticipate for the second quarter healthy level of the steel shipment and an increase in revenue per ton. Let's go now to Page 5 to review the performance of the Southern Region. As anticipated, steel shipments remained at strong level in the first quarter of the year despite the seasonal weakness of the first quarter in Argentina, and the steel revenue per ton increased 3%. We expect a slight increase in shipments in the second quarter and somewhat higher revenue per ton. In the next page, #6, we can see that other markets' shipments decreased slightly as a result of lower slab shipments to third parties, compensated by a higher level of integrations among our facilities. For this same reason, in the second quarter, we expect slab shipments to third parties to increase further. Revenue per ton increased 7%, reflecting higher slab price. The next page, we see the combined effect of this development on our consolidated net sales. We have shipped a total number of 3.5 million tons, consolidated sales grew 7%, and revenue per ton,6%. If you can turn now to Page 8, so we can see the drivers of the first quarter EBITDA. As already discussed, steel prices increasing all Ternium markets, steel cost per ton slightly increased, and steel shipments increased in Mexico, partially offset by a decrease in other markets. The decrease you see in the other column is mainly related to the 43 million nonrecurring gain related to our sales of electricity in Mexico that were reported in the fourth quarter. We expect sequentially higher EBITDA in the second quarter of the year, with higher EBITDA margins, but higher prices in Mexico will be only partially offset by higher cost per ton. Let's now review net income on Page 9. There was a $224 million sequential increase in net income in the first quarter, mainly due to higher operating income and a lower effective tax rate, partially offset by higher net financial expenses, mostly related to foreign exchange we've had. The 8% depreciation of the Mexican peso in the fourth quarter 2017 and the 8% appreciation of the currency in the first quarter of 2018 produced significant sequential fluctuations in effective tax rates due to changes on deferred taxes, as well as importing exchange results on a net local currency position in Ternium's Mexican facility. On Page 10, we can see the free cash flow in the first quarter, which reached $90 million in the period. We continue carrying capital expenditure program in the first quarter. On the other hand, working capital increased $266 million in the period. As you can see in the box on the same page, in the first quarter, the value of our inventories was again affected by higher steel prices as well as raw materials. Physical inventories decreased by $45 million, reflecting a destocking of our operations in Mexico. But the value of our remaining steel inventories grew by $99 million. Stocks and prices of raw material grew by $104 million. In receivables and payable increased a net of $108 million in a context of higher steel prices and higher shipments in Mexico. We will continue working on optimizing working capital across Ternium, but it is important to mention that the expected increase in revenue per ton will continue to impact our numbers. Moving now to Page 11, you can see an evolution of Ternium cash flow from operations, free cash flow, capital expenditure, and net debt over the last four quarters. Free cash flow improved in the first quarter of the year. We expect free cash flow to remain at relatively healthy level in 2018, although capital expenditure should start to accelerate as we advance the new project in our industrial center in Pesqueria. We anticipate capital expenditure of around $650 million for 2018. Finally, Ternium's net debt at $2.6 billion at the end of March, representing a level of 1.2x EBITDA. Okay. Thank you very much for your attention. We are now ready to answer your questions. Please, Operator, proceed with the Q&A session.
Operator: [Operator Instructions]. Your first question today comes from the line of Thiago Lofiego, Bradesco BBI.
Thiago Lofiego: I have two questions, the first one on the energy sales line. So what's the recurrence of that line in Mexico and Brazil? And also, if you could provide us with more data in terms of megawatts sold or prices of energy, realized prices of energy in each of these regions so that we can better [indiscernible] that line. And then the second question is regarding Mexican steel pricing dynamics, specifically regarding Ternium. What's the breakdown of your clients' mix in terms of industrial, construction, distribution, and whatever other types of clients? What's the big breakdown and how should we think about contracts and price dynamics for each of those segments going forward, not only in the second quarter but just structurally thinking about how we should think about those dynamics.
Maximo Vedoya: I'm going to start by the last part of the question, the Mexican steel prices dynamic. Our customers or our sectors are divided in two. One is a commercial that is mostly construction or things related to construction, and the other one are industrial customers. And this is, industrial today is more likely 55% of all mix. Construction, which is a little bit weak in Mexico, and there, you have these [indiscernible], it's around 45%. Both prices are linked to prices, or follow prices in the U.S. So follow the CRU [indiscernible] sometimes with a little bit of luck, but usually they follow the CRU price that the U.S. has. In the case of industrial, most of those are linked in contract to some of those prices. So that is the mix that we have. In the case of energy, Pablo, please.
Thiago Lofiego: If I may just, still under the pricing side, so how should we think about the -- in terms of the contracts? I mean, the construction clients, do they have the same type of contracts like the industrials have?
Maximo Vedoya: No, construction customers are more on a month-to-month basis, and so they increase faster. That's true. And they don't have a contract that links, for example, the last three months or the last six months of the CRU, which the industrial customers, some of them have.
Thiago Lofiego: And then so the final part of my question still related to prices is do you guys see upside in pricing, especially considering the U.S. steel prices are trading at a abnormal premium over Mexican prices? I mean the continued price recovery in Mexico? I know you mentioned for the second quarter that's true, but going into the second half, do you think that can be true as well?
Maximo Vedoya: Well, in the second quarter, for sure, because contract are going to be higher in the second quarter, because we take the last quarter. So the first quarter were regarding the fourth quarter of 2017. So in the second quarter and probably in the third quarter will be higher than in the first quarter. Of course, then we'll see what happened in the U.S. prices and how that develops.
Pablo Brizzio: Going to your question in relationship to energy, you're right there is a certain fluctuation in the sales of energy, and this is more related to the climate situation in the Mexican environment. The prices of energy during winter decrease in comparison during the summer months. That's why you can see that there was a reduction in the income on the sale of energy to [indiscernible] and to the system during the first quarter of the year, where we have the demand, the cooler months of the year, in comparison to what happened in especially the beginning of last quarter. So we are expecting to see when we move into the summer in Mexico, somewhat a higher level of sales in relationship to these energy. So there are areas where you can see the fluctuation on the energy sales in other sales in our net income.
Thiago Lofiego: Yes, but Pablo, can you provide us data in terms of like megawatts so that we can project that line, because it's quite a relevant revenue line.
Pablo Brizzio: Yes. In fact, you know that the facility in Mexico is close to 900 megawatts and we have access to around 78% of that energy, of which we consume close to half of that, and the rest is sold to third parties.
Thiago Lofiego: And in Brazil?
Pablo Brizzio: In Brazil, it's a little different. The facility is smaller than the one we utilize at higher level. So we consume, depending on the month, around 60% or 70% of the total production, and the rest is sold to the market.
Operator: Your next question will come from the line of Carlos De Alba with Morgan Stanley.
Carlos De Alba: So I was looking at the balance sheet, and clearly this is one of the highlights of Ternium, very robust relative to the industry. And so the question is, with a very strong outlook for the remaining of the year, and even with the current expansion projects, the reality is that probably your leverage continues to decline. What are you going to do with that cash? Is it possible to pay a higher dividend, a special dividend? The dividend yield, and when you looked at other peers is not necessarily low, but around 2-point-something percent after the stock has increased, it probably has room to increase. And also, if you pay a dividend, that would boost your return on equity figures. So why not doing that? And if you are not prepared to pay a special dividend, what are the most likely uses of cash as we move forward?
Pablo Brizzio: If you allow me, I will take this question. First of all, the guidance that we're giving is just for next quarter, it's not that we are giving the guidance for the rest of the year. So, with that clarification, let me go to your question. In part, you answered yourself, because the dividend that we are paying is not small. In fact, you're mentioning 2.4%, which is the number after increase. But at the moment of paying that dividend worth more than 4%, so among the highest in the sector. And we are entering to a [indiscernible] now of increasing our capital expenditure, as I mentioned. We will invest around $650 million and we invested only $100 million during the quarter, during the first quarter, so during the remaining of the year, we will increase that. That's the first part. And then you know that we already mentioned that entering to next year, we will reach the peak of our CapEx or our investment in relationship to the two facilities that we're building in Mexico. That should be around $1 billion. So putting this together, dividend payment, of course we understand that we will have room to further review our [indiscernible], which is something that we consider appropriate in the situation where we are, and we are not expecting something of course that we cannot decide, which is on special dividends. But we have been very consistent on increasing our dividend payment as much as we can year after year. If you look in the history of dividend payment from Ternium in the last five year, we have increased more than 65% the total dividend paid this year in comparison to five years ago. So you know that we prize having a solid financial position. We have that, but we think that we can still work there until we prepare for the next step, which is the CapEx that is coming in the rest of this year and in the coming one.
Carlos De Alba: And just on that, and maybe you or Maximo, does management and/or the company have a preference between investing or acquiring assets in the market, or buying more of the stakes in Ternium Argentina or other businesses that the company doesn't currently own?
Maximo Vedoya: Well, we don't have a preference right now. Ternium Argentina, we don't have it today as a possibility. If it is all right, we are going to analyze it, but it's not something that we are seeing today. As you know, 26% of the participation first has to be willing to sell that, and they are not today. So we are not having that in our portfolio or in our view today. The second is, we are building a new facility in Pesqueria. That, in total, when you take the hot roll mill, the galvanized line and the painting line, it's in total $1.4 billion, so that's the second step. And then we don't have any preference in continue growing. We have some projects analyzing also in Argentina, for example. We are analyzing a galvanized line in Argentina which we haven't make any decision yet, but it's a project that we are seeing very carefully because if the demand continue growing, it's something that we are going to need. So we have several different projects analyzing, but without any decision yet.
Carlos De Alba: All right, understood. And then just on the hot roll line in Mexico, what is incrementally the per ton that you think the company would generate by further integrating or by integrating Ternium Brasil production or slabs from Ternium Brasil into the new line in Mexico?
Pablo Brizzio: Well, Carlos, thanks for clarifying the question, which is a very difficult one to answer, because if you'll remember some conference calls ago where we enter into the facility into Brazil, Ternium Brasil, now we anticipated a reaction in margins because of the reviews margin in relationship to selling slab against the value-added product that we have been having. In this case, well you saw that at the very beginning, this happened, but later on we were able to increase the margins to higher levels than before. So, what I'm trying to say, that this depend a lot on the price environment, but clearly the level of integration will help the margins in Ternium. The answer I will try to give to you, which is something that you have heard before, is that we always work with the target of having margins above 15%, or within the range of 15% and 20%. And everything we do is to sustain that, and as you can see, in the last year, we have been on the upper side or even surpassing these rates. So this is the goal that we have -- sustaining, improving, increasing, and by doing this investment, not only gaining market share but also sustaining and improving our profitability. Hope to answer your question with that.
Operator: Your next question comes from the line of Marcos Assumpcao with Itau.
Marcos Assumpcao: Results keep improving, and my question is what is the management doing to reduce the valuation gap with peers? A second question is also if you could comment a bit about the spread between HRC and slabs. You have been playing this spread for many, many years and you did it very well recently, with the acquisition of CSA. A last question just on CSA, if I can. If you see any possibility of de-bottlenecking the plant anytime soon.
Maximo Vedoya: Well, I start from the last to the first, if you mind, Marcos. The de-bottlenecking in CSA, last year we produced 4.5 million tons in CSA. Our goal is to reach at least 5 million tons. We are not going to reach that this year, but we have already defined certain small investment for some the bottleneckings that we have. And I think that in a couple of years, we are going to reach the 5 million tons. I mean, this year is going to produce a little bit more of the 4.5, and in 2019 I hope we will be very near our goal. As I said, these are different small investments, but quite a few for some the bottlenecking that we have been finding during the six months that we have been running CSA. Hot-rolled coil and slabs, I mean the difference continued to be high, which, I mean, we believe is going to be sustained for a while until in the North American market. This also depends, of course, in how the 232 ends up. I mean, if there is a lot of exclusions, if slabs is excluded completely from 232 or there is exclusions by product or by company, which are all things that are being discussed right now, I think with the slabs, the good news also, but for CSA, is that slab prices also is increasing, but raw material prices are not increasing. So the difference between our raw material and slab is today very comfortable for us, and we expect to continue that way, at least in the second quarter. Then the valuation gap, Pablo?
Pablo Brizzio: You know that we have discussed these things in the past. We know that we have this gap. We understand the issue. We want to work in line of reducing it. There are some things that we can do, there's some others that we would like to do but have not [indiscernible] out at the moment. You looking through your report and other reports, you all agree that there's a difference there that probably there is no big certification for that, and if we keep performing as we are and this is reflected in the price of our share, we should be gaining some reduction into that. We have discussed, especially during our last investor day, what things we believe that can help the company to reduce the gap that, as you can imagine, we believe that in the past we have some certification, not that much right now, but probably is not the moment to go deeper into that because I think that we cannot [indiscernible] exactly right now. What we are always trying to do is to perform as much as we can, reduce our cost, enhance our production, enhance our volumes, enjoy the results that [indiscernible] things. We are very well aware of them, and you know that the company is willing to reduce the gap as much as we can.
Operator: Your next question comes from the line of Thiago Ojea with Citibank.
Thiago Ojea: I have one question specific on Argentina. What do you expect for [indiscernible] consumption to grow this year in Argentina, and what is the current level of imports penetration and if you see any risk going forward from reports in Argentina, given the higher steel price at the moment. And just one follow-up on Marcos' point on the valuation gap with your peers. Is Ternium considering be listed in any major index somehow? Would this be one of the possibilities?
Maximo Vedoya: I start with the first one. Consumption in Argentina will continue growing this year. The growth that we are expecting is around 9% this year. That's our number. I think it's a very good number. But regarding imports, we don't see any threat today for higher imports in Argentina. As you know, our customer base, we have a very long relationship with our customers. We have a very intense service value proposition to our customers in Argentina. We are going very, very down the value change. So I don't see that risk. Nevertheless, we are talking with all the governments as the steel industry, because unfair trade can happen anytime and it's important that we all be prepared. As I talked in my first remarks, I think that the good news about the things that are happening with all these Section 232, the [indiscernible] and everything is that all the government in the region are very, very aware of what unfair trade can do to a country's economy or to a country's industry, and they are waiting and see how to react if this happens. So I think that's a very, very good news.
Pablo Brizzio: Going back to the question on the listing, you know that in any shopping list or any wish list, in order to reduce our gap, a listing in another market could be one way to overcome that. We have also discussed this, and not only in the past, we don't have plans to do this right now, something like that, we continue analyzing the opportunities. If we find a way to start in the future, it's something that we clearly consider because we understand, talking to you and to our investors and analysts, that this could be one way of doing that because of having them [indiscernible] market or having a higher floating on our stock. So you know that we are considering all alternatives. Nothing to announce in the moment, only saying that we know that and we consider that and if we have a chance and reason to do that, clearly something that the company can consider.
Operator: Your next question comes from the line of Andreas Bokkenheuser with UBS.
Andreas Bokkenheuser: Just a follow-up question on Section 232. Obviously, there's a lack of clarity on it overall and we don't know about extensions and so on yet. But generally speaking, how do you think about it? Do you see it as an opportunity for Ternium in that if there are extensions on Mexico and the U.S., given that where the U.S. steel price is sitting right now, or [indiscernible] you know you could have some upside there, or do you start to worry about imports coming in from Europe? I know some of the European producers are now talking about reallocating steel from North America into Central and South America that they can't get into the U.S. any longer and that could be an important -- how do you think about it? Is this a risk or an opportunity at this point in time?
Maximo Vedoya: I think overall, the 232 is an opportunity for Ternium. I mean, we don't have a lot of -- as we discussed in the last conference call, we don't have a lot of export to the U.S. Our Mexican export to the U.S. are quite small. Nevertheless, I think Mexico is going to be excluded, so that's a good thing and we can increase a little bit, but it's not in our plan yet to do that. And our big export to the U.S. are slabs from Brazil, and those slabs I think are going to be excluded. The U.S. has no capacity to produce more slabs, or the amount of slabs they needed. And so, Brazil, or it's going to be excluded or it's going to have a quota that more than satisfies our sales to the U.S. in slabs. The only risk, I don't think it's from European. I think it's more from Asian countries that could send more material to Mexico or to Argentina. I think that risk is something that happens, but I think it's a risk that is manageable. As I said, Mexico is on the path, I think, for renewal of the safeguard we have against this import of steel. I think that they have to increase the amount of products that they have, so I think that the government, if that happens, they are going to react. But I don't see that that would happen a lot. I mean, it's going to be for short periods, and people have to react to different production capabilities.
Andreas Bokkenheuser: That makes a lot of sense. Maybe one follow-up question. You mentioned something that Mexico could get exempted. If Mexico is exempted, and I know you said you don't export a lot to the U.S., but theoretically speaking, what kind of price could you get, your benchmark HRC flat steel into the U.S. at, if there is no tariff on Mexico? And do you have a sense of what price that would be selling in the U.S. versus where domestic prices are at the moment?
Maximo Vedoya: No. Today, both prices are more or less similar. I mean, if the U.S. theoretically -- and this is very theoretically -- if the U.S., the Section 232 is very, very restrictive, well, in the future, U.S. prices are going to be a little bit higher than Mexico, but you have the [indiscernible] difference. So shouldn't be a lot of difference.
Operator: Your next question comes from the line of Renan Criscio with Credit Suisse.
Renan Criscio: My first question's on Argentina. You mentioned that there is the potential drop in Argentina potentially impacting economy and eventually impacting steel sales. So can you just remind us what's your exposure to like agricultural machinery or any other related sectors that could be impacted by such a drop? And second one is on the slab integration. You mentioned that this quarter you had a slight increase in the levels of integration, and thus so my question is whether this is like a recurring strategy or if that that was a factor for this quarter. And if can elaborate a bit more on the economics of these slab integration and also how much further you can go with this integration.
Maximo Vedoya: Regarding the problem of Argentina, what we mentioned is that general problem of Argentina is not going to affect a lot to us. I mean, the consumption with this problem that we are seeing is going to increase the 9% that I said. The main issue is, we were expecting a little bit higher in last conference call the growth in the GDP of Argentina, and today our expectation is that GDP, because of this doubt that is happening in Argentina, it's going to be 2.5%. So it's a little bit of a decrease of what we were expecting before, and mainly because of this problem. Slab integration, we're on view but we are not seeing more slab integration today than what we did with CSA. Remember, we are going to have in two years a new hot mill. The hot mill is going to be almost 4 million tons. So we are going to continue with a strategy of producing slabs for our facility in Brazil, but also we are going to buy slabs from the market, and we probably will be buying the same amount that we were buying before CSA. So we are continue with the strategy of having several sources of production. I mean, on slabs, iron ore and buying slabs.
Operator: And your next question today comes from the line of Jon Brandt with HSBC.
Jonathan Brandt: I just wanted to -- a quick follow-up on the valuation gap and the things that you're doing to close that. Do you have a timing in mind or is this sort of an open-ended, multi-year process that you're looking at? And then secondly, and I missed the first part of the call so apologies if you already went through this, I'm wondering if you can comment on NAFTA. Supposedly we're getting closer to a revised agreement. I'm wondering if this has impacted your customers, if you've seen any change in consumption or behavior or anything relevant that you could discuss. Thanks.
Pablo Brizzio: Okay, let me take first the question on the valuation gap. First of all, as we always said, let me remind that this gap has been reducing the last years because of different issues. We know different things that we can do, but clearly we cannot promise or we cannot say that this can be solved in [indiscernible] because as we have discussed during Carlos' question and in relationship to the listing of our company, in our market that's nothing that you can do from one day to another. So you have to have reasons to do that, you have to have the opportunity to do that, and as Maximo mentioned also during one of the questions, in relationship to the position of the shares of Argentina, we don't have the opportunity to do that at the moment. Taking that as a possibility, we understand that this also help in that regard. So as I said before, we are well aware of the issue. We have been working very hard in order to review that. I think that we have reduced or the company have reduced that gap in the last year, and we will continue working on that front, but of course we cannot promise that this will be solved in a certain period of time.
Maximo Vedoya: Okay, regarding NAFTA, as you said, there have been talkings all this week, all last week regarding the renegotiation of NAFTA. I always said that I was confident that -- and I'm still thinking that they are going to reach an agreement that's a good thing for the three countries. But of course, you never know. I think they're closer today, I mean, in the following weeks that we had some news, and there's a good chance that the news is a good one. Regarding your specific question, have we had any impact in our customers, we didn't see any impact in the last year in the industrial customers. I mean, industrial customers, and you can see it from our shipments in Mexico, continue with a very healthy environment. They continue to produce very well all different sectors -- automobiles, white goods, electronics. Everything continue in a good space. So we haven't seen any particularly effection or any particularly slowdown of those customers regarding NAFTA. What we have seen is a reduction in construction, but that, it's more because of infrastructure than because of NAFTA. I mean, if you see last year and a half, infrastructure spending decreased in Mexico, and private contraction increased. And that made that construction having without growth for at least or a little bit more of a year. But it's more related to infrastructure spending than NAFTA.
Operator: And at this time I would now like to turn the conference back over to our CEO for closing remarks.
Maximo Vedoya: Okay, thank you very much for being part of our conference today. As always, please feel free to contact us if you have any doubts or comment. Thank you very much.